Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Barrick Gold Q1 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Wednesday, April 24, 2013. I’ll now turn the conference over to Greg Panagos, Senior VP, Investor Relations and Communications. Please go ahead, Sir.
Greg Panagos: Thank you, Dave and good afternoon everyone. Welcome to our first quarter 2013 earnings conference call. Before we begin, I would like to point out that we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties, and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statement, please refer to our latest year-end report or our most recent AIF filing. I’m here today with our President and CEO, Jamie Sokalsky; our Senior Executive Vice President, Kelvin Dushnisky; our Executive Vice President and CFO, Ammar Al-Joundi; our Executive Vice President and Chief Operating Officer, Igor Gonzales; and our Senior VP of Global Exploration, Rob Krcmarov, all of whom will be available to answer questions after the presentation. With that, I’ll hand it over to Jamie.
Jamie C. Sokalsky: Thanks, Greg and thanks to everyone for joining us today. Our first quarter results were very strong, exceeding our targets, both financial and operationally and today we also announced the declaration of a dividend for the quarter of $0.20 per share. The results reflect our high quality asset portfolio and importantly our aggressive cost management focus, which has successfully been instilled throughout the company. And while these results are a good start to the year, we’re disappointed with our weak share price performance. Gold’s recent sharp decline triggered a sell off across the gold equities, but our share price has underperformed on a relative basis and I’d like to address a couple of the reasons for that. Clearly a contributing factor to this was the suspension of construction on the Chilean side of Pascua-Lama in response to a court order preliminary injunction just as gold was falling. We recognized the need to eliminate the uncertainty created by this injunction and we’re taking a hard look at all of our alternatives, including materially reducing the rate of spend or even suspending construction for the entire project. The share price has suffered in the wake of lower gold prices and the uncertainty related to Pascua-Lama, but I do want to point out some important positives. We continue to maintain our investment grade balance sheet and sufficient financial flexibility including good access to the debt capital markets to meet our objectives. And our underlying business anchored by a core base of 5 mines that rank among the most profitable gold operations in the world are performing very well and generating strong cash flow. We remained positive on gold’s long-term outlook, but we don’t rely on these higher prices. Barrick is focused on cost management. It’s the key element of our disciplined cash flow allocation framework, and our operating teams around the world have done an exceptional job at controlling costs. First quarter all in sustaining and total cash cost beat expectations. The result, we’ve also reduced 2013 all in sustaining costs, CapEx and exploration guidance, we began cost cutting before gold’s recent volatility and we will continue with our efforts, independent of metal price movements going forward. And while we have made good progress we still have work to do. Our first quarter earnings were $0.85 per share and $0.92 per share on an adjusted basis. Significant adjusting items, net of tax, totaled $0.07 a share and included unrealized foreign currency translation losses, other non-recurring expenses which are partially offset by unrealized gains on non-hedged derivatives. We generated healthy operating cash flow of $1.1 billion and adjusted operating cash flow of about $1.2 billions. Gold production was 1.8 million ounces, at better than targeted all-in sustaining costs of just over $900 per ounce and total cash cost of $561 per ounce. Our 2013 gold production guidance of 7.0 million to 7.4 million ounces at total cash cost of $610 to $660 per ounce remains unchanged. However, we have enabled to reduce all-in sustaining cost guidance by $50 per ounce to a range of $950 to $1,050 per ounce. Our copper output for the quarter was 127 million pounds at C1 cash costs of $2.46 per pound. The higher C1 costs at Lumwana primarily reflected the impact of the wet season including higher processing and labor costs. Our dedicated copper team is progressing a number of key initiatives in an effort to lower costs at the mine including a full transition to an owner-maintained site and higher utilization and productivity of the mining fleet. While we expect to realize some of the benefits in the second half of this year, 2013 is still a transition period. Our full-year total copper guidance for the Company remains unchanged. Our first quarter all-in sustaining costs of $919 per ounce benefited from low total cash costs on strong performances at Goldstrike, Cortez, and Veladero. We are managing our business on a return and free cash flow basis, and the all-in sustaining costs metric completely ties in with that. This metric better reflects the total cost of producing an ounce of gold. Our current definition of all-in sustaining costs starts with total cash costs and adds sustaining CapEx, G&A, mine exploration, and environmental rehabilitation, and this puts us in the low end of our peer group. The components of total cash costs; the largest component of all-in sustaining costs break down as follows; about 40% labor, 20% consumables, 15% energy, and 10% maintenance, and 15% other like royalties, taxes, and other overhead. And we are starting to see some relief coming through, although it’s still early in terms of some of the inflationary pressures, but the cancelation and deferral of many large mining projects over the last year or so and increased emphasis on cost containment across the broader resource industry, we have started to see some relief from those inflationary cost pressures that existed in the last few years. Many of our direct materials are consumable costs, as I mentioned about 20% of the total are driven by a few basic commodities; fuels, field tires, explosives, cyanide, and we are starting to see some declines in those costs. The majority of our contracts are structured to allow us to capture the following input costs. Major machinery prices are now negotiable to 15% below recent levels, and we are also seeing a decline in delivery periods. Overall labor, we are seeing some relief there, although we’re still going to see some inflationary pressure, but with the decline in the global resource environment, we are starting to see lower labor cost increases and better and more capable people available and less turnover, so as a result, we should be able to see some relief on labor and higher productivity. So as I mentioned, we are able to reduce 2013 all-in sustaining cost guidance, and we continue to evaluate further ways to meaningfully reduce these costs. Looking at the regional first quarter results, our North American region contributed just over 870,000 ounces of gold or about half of Barrick’s total production this quarter at all-in sustaining costs of $770 per ounce. The region benefitted from strong performances at the Company’s two largest mines; Cortez and Goldstrike in Nevada. And this quarter, we also had a low cost production from Pueblo Viejo. South America produced 370,000 ounces at all-in sustaining cost of less than $640 per ounce. And those results were positively impacted by higher silver byproduct credits from increased recoveries at Veladero as well as delays in the regions sustaining CapEx spend. Australia Pacific produced 450,000 ounces at all-in sustaining costs of less than $1,100 per ounce and our share of African Barrick Gold’s production was 108,000 ounces at all-in sustaining cost of about $1,560 per ounce. Our original operating guidance remains unchanged for all of the regions. Our core group of large low cost mines delivered excellent results this quarter, and these operations are among the best gold mines in the world. Due to their low cost profile, long lives, upside potential, and established infrastructure, these superior assets position Barrick extremely well amongst our peers even if gold prices remain at lower levels. Globally, there is only a small number of large deposits, and we are fortunate to have a large percentage of them, but not only do these five contribute substantial production, their all-in sustaining costs make them some of the most profitable in the world. These five mines contributed almost 60% of total production for the quarter or over 1 million ounces at all-in sustaining costs below $600 per ounce, which came in well below our overall company average of $919 per ounce. Cortez production was just over 340,000 ounces at all-in sustaining cost of $410 per ounce, and that was positively impacted by higher than anticipated grades this quarter. Goldstrike produced 230,000 ounces at all-in sustaining costs of less than $820 also on higher than anticipated grades and recoveries. Veladero contributed just over 200,000 ounces at all-in sustaining cost of less than $690, and Lagunas Norte produced 145,000 ounces at all-in sustaining costs of $380 per ounce. And our share of production from the new Pueblo Viejo mine was almost 100,000 ounces at all-in sustaining costs of $855 per ounce. So these five core assets gives us a huge amount of flexibility even if the gold price were to decline, but also grade upside and the ability to deliver significant cash flow in this gold price environment. Pueblo Viejo continues its successful ramp-up to full capacity expected in the second half of this year. Our share of average annual gold production is anticipated to be between 625,000 ounces and 675,000 ounces in the first five full years of operation. The government of the Dominican Republic is asking the joint venture to accelerate and significantly increase its share of the benefits from the mine. We continue to engage in discussions at this time while reserving our rights under the special lease agreement which cannot be unilaterally altered by either party. However, discussions such as these are always challenging. We can only reach an agreement if the result is fair to both parties and ensures an appropriate risk-adjusted return on our invested capital. If the government imposes unacceptable terms, we have the ability to pursue our rights under international arbitration. About two weeks ago now, we suspended construction on the Chilean side of the Pascua-Lama project in response to a preliminary injunction from the court. The request for a preliminary injunction was related to a constitutional protection rights action filed in September of last year alleging non-compliance with certain requirements of the Chilean environmental approval. As we disclosed last quarter, we have been repairing and improving the water management system in Chile. It is important to note that there has been no adverse impact on water quality or glaciers, and we expect work necessary for environmental protection to continue. And just recently we hired two very senior Chilean industry veterans to steer efforts on the Chilean side of the border. Construction in Argentina, where the majority of the critical infrastructure is located, has not been affected. As of the quarter end, $4.8 billion had been spent on the project. We’re currently working through the alternatives available to us. One such alternative is to accelerate the development of another smaller pit in Argentina to provide a source of initial ore for first production. However, we are at the early stages of this evaluation. And however, it is too early to assess the impact on CapEx and schedule, I can assure you that we will not continue to spend on the project if we do not have a strong indication of the required timeframe in short order. I’ll be heading to Chile soon for meetings with the government and our team there to get more clarity on the path forward. We’re serious about disciplined capital allocation, this means we need to consider all options including the possibility of suspending the project. I’ll now turn it over to Ammar.
Ammar Al-Joundi: Thanks, Jamie. As Jamie mentioned, we are encouraged by the fact that we’ve been able to reduce cost guidance in a few very important areas for 2013. Barrick has been sharply focused on cost reductions as part of our increased disciplined approach to capital allocation that we started last year. The results of this focus have begun to take effect. Last quarter we announced a $100 million reduction in overhead and noted that we expected further decreases to come through a company-wide overhead review that we’ve now launched in this first quarter. Our personnel worldwide have demonstrated their complete commitment to cost control and have been effective in implementing reductions across-the-board. Total CapEx guidance is now $5.2 billion to $5.7 billion, down from the original range of $5.7 billion to $6.3 billion, a reduction of $500 million. We also revised our outlook for all-in sustaining costs to a range of $950 to $1,050 per ounce, down from previous guidance of $1,000 to $1,100 per ounce. We have focused our exploration efforts even more on the most prospective, highest priority areas resulting in a revised budget of $300 million to $340 million from the previous range of $400 million to $440 million, another $100 million decrease. Plans to advance Goldrush in Nevada remain intact with a prefeasibility study scheduled for completion in late 2014. In all other spending categories we reaffirmed our original outlook, but we’ll be reviewing these further as the year progresses. Our efforts to cut costs and improve cash flows will continue. We also reiterated production guidance for both gold and copper. Utilizing option collar hedging strategies, we’ve protected the downside on approximately half of our remaining 2013 copper production at an average floor price of $3.50 per pound. And can participate on the same amount up to an average price of $4.25 per pound. We expect to benefit from this protection should copper prices remain or go lower from current levels. In today’s environment of lower gold and copper prices Barrick remains well positioned with the financial flexibility required to meet all of our objectives. At an average realized gold price of $1,629, we generated $1.1 billion in operating cash flow this quarter. Barrick has more of the world’s largest lowest cost mines than any other gold producer with high quality reserves that are relatively insensitive to the gold price. For example, a decrease of $300 per ounce in the gold price assumption used to calculate our 2012 reserves would result in a decline of less than 10% in our overall total reserves. And a much, much smaller change to the reserves of our core low cost long-life mines that Jamie talked about. We don’t mind every ounce of gold at the reserve price or even at the spot price instead we optimize each mine plant to maximize the cash flow generated and to maximize the NPV. Again we are not focused on production for the sake of ounces. We were focused on the most profitable production independent of the reserve price at that time. We remain positive on the long-term fundamentals for gold, but we don’t run our business dependent on high gold prices and naturally we plan for all gold price scenarios. Our portfolio has one of the best cost structures in the event of a prolonged decline in gold prices. At all-in sustaining cost guidance of $950 to $1,050 per ounce. Our average costs are already among the lowest of our peers. However, and perhaps more importantly, as Jamie mentioned earlier, about 60% of our production came from five core low-cost, long-life mines at all-in sustaining costs of about $590 per ounce. In a scenario of long-term depressed gold prices no other gold company has the ability to close production incrementally like we do and still have the majority of our production intact with all-in sustaining cash costs at roughly half those of the industry average. We have three options for higher cost mines if the price of gold declines over a long period of time. One, modify the cut-off grades and focus only on the most profitable cash generating ounces. Two, stop further investment and harvest the asset. And three, close and/or sell the asset. We have both the ability to make these tough decisions and at Barrick we have the willingness to do it and still be left with a core of great low-cost mines. While we have already reduced our CapEx guidance by $500 million and our exploration guidance by $100 million this quarter, we can and will do more if gold prices remain low. Obviously, our single largest opportunity for capital savings is Pascua-Lama. Given the suspension of construction activity in Chile, as Jamie said earlier, we are taking a hard look at all of our options, including materially reducing the rate of spend or even suspending construction activity for the entire project. With strong cash generating quality mines, $2.3 billion of cash on hand, undrawn credit of $2 billion, investment grade ratings and modest near-term debt maturities we have good liquidity and strong access to debt capital markets at attractive rates. In 2013, we have a modest debt repayment of about $600 million. Our repayment obligations in the next few years are quite low with the majority maturing beyond 2013. And as Jamie mentioned in our meeting this morning, all of our cumulative debt repayment obligations have to including 2017 combined is less than last year’s operating cash flow. Many have asked so I will address it. There are no financial covenants related to our public bonds, which represent over 80% of our total debt outstanding. We have only one financial covenant and that’s on our long-term credit facility, which requires estimating consolidated tangible net worth of at least $3 billion. At quarter-end our consolidated tangible net worth was $12.6 billion. Finally, we intend to access the U.S. debt capital markets at some point this year to further extend our maturities schedule and improve our liquidity. Jamie?
Jamie C. Sokalsky: Thanks Ammar. We’ve laid out a clear set of priorities in the near-term and for 2013. These include meeting our operating targets, clarifying an addressing regulatory matters at Pascua-Lama and also our options there, ramping up Pueblo Viejo to full capacity in the second half of this year, improving performance particularly costs at Lumwana, all of which we will do within a highly disciplined capital allocation framework based on the mantra that returns will drive production not the other way around. This framework concludes among other elements pursuing opportunities to optimize our portfolio and our relentless focus on cost management. Our first quarter results put us well on track to achieve our operating targets for the full-year. We’re looking at sales of non-core assets and while this is a tougher market to do that, few processes are underway to potentially further optimized our portfolio. But we have made some excellent progress as reported today. We continue to look for further ways to reduce our costs. We recognized the need to clarify the uncertainty related to the regulatory matters at Pascua-Lama. But in any event, we will acquire a rigorous approach to capital spending there. In closing, we remain positive on the long-term fundamentals for gold and copper. None of the factors that have led to gold secular claim over the past decade by government’s printing money, loss of faith in paper currencies have gone away. The growing middle class and emerging economies like China and India provide a further backstop to gold prices and should also benefit copper prices through infrastructure and consumer demand. Having said that, we have a strong core business even in a lower gold pricing environment and also know the levers we need to pull should metal prices decline further. There is no doubt that is a challenging time for the company, but we recognize the importance of, and are committed to executing on our priorities in order to improved returns to shareholders. That concludes our presentation and we are happy to take some questions at this time.
Operator: Thank you, sir. First question comes from the line of Carly Mattson with Goldman Sachs. Your line is open.
Carly L. Mattson – Goldman Sachs & Co.: Hi, good afternoon. Two questions, first is in regards to the near-term debt issuance. Can you talk to the potential size that Barrick could look to assure?
Ammar Al-Joundi: Hi, Carly, it’s Ammar here. I don’t really want to get into the potential size, but we do have very good access and we don’t consider ourselves restricted at all.
Carly L. Mattson – Goldman Sachs & Co.: Okay, and then on a follow-up, talk to what credit metrics does Barrick target from a longer term perspective in regards to both metrics and readings and how much committed capital is there for 2013?
Ammar Al-Joundi: Well, we’ve given our CapEx guidance. As Jamie mentioned and I mentioned, there is still room, and we’ll continue to look to bring that down. With regards to our debt targets over the long run, we use a number of different factors, but Jamie and I are both physically conservative people, and I think that our targets -- my target is in the long run to have roughly half the debt that we currently have, so materially less debt.
Carly L. Mattson – Goldman Sachs & Co.: In what timeframe do you think you can achieve that in?
Ammar Al-Joundi: Well, we don’t want to get into that right now, but we are able to generate quite significant positive cash flow.
Carly L. Mattson – Goldman Sachs & Co.: Okay.
Jamie C. Sokalsky : We are looking as we are not building any new mines post 2014, we have the ability to generate significant free cash flow and ultimately some of that free cash flow would be used to pay down debt. As we look to potentially sell assets, those proceeds from the sale of those assets would get applied to our debt balance. Ultimately, we certainly like to be able to move more towards something like a debt-to-EBITDA ratio that’s 1.5 or less, and that would be something that I think as we start to generate more free cash flow and/or sell some assets, we can look to move towards.
Carly L. Mattson – Goldman Sachs & Co.: Okay, thank you.
Jamie C. Sokalsky: You are welcome.
Operator:  And the next question comes from the line of Brian Yu with Citigroup. Your line is open.
Brian Yu - Citigroup: Great, thanks. Hey Jamie, there is obviously a lot of moving parts with Pascua, I want to make sure that I understand from a timing standpoint, I think last quarter, you had indicated that the pre-stripping activities don’t begin until the late 2Q that project would be delayed, and then in today’s press release, you talked about how if you can’t do pre-stripping by the end of year that there is going to be material changes to the mine plan. And is that how we should think about it as a fact that if you can’t get in there within the next several months, it’s going to push out the start date beyond 2014, and then any additional delays beyond that, that’s where this possible suspension of project would come into play?
Jamie C. Sokalsky:  Hi Brian, well we’ve got an alternative there in Argentina with the [Penelope] (ph) pit, and ultimately that’s something that we could potentially use, it’s still early days in terms of evaluating that, but something that we maybe able to use as feed for the plant. If that didn’t come to fruition as we are suspended now in terms of doing anything because of the court injunction in Chile as we are moving now into the winter, that has delayed our ability to move forward with some of the construction work, essentially now any of the construction work in Chile. So, with that delay, it has pushed the ability to complete a lot of the work that’s necessary in Chile now into the first quarter of 2014, the Phase I work of the compliance plan that we have to do regarding water management. So, we potentially have the ability to bridge that delay on the Chilean side with some ore in Argentina, but that would be for about six months. If we’re not able to move forward on a more expedited basis because of the suspension, then that could impact the timing of the project and ultimately we will have to make an assessment at that time as to the path forward.
Brian Yu - Citigroup: Okay, and a follow up is, how much of the CapEx reduction related to the work that you can’t do Chile?
Jamie C. Sokalsky: I am sorry, could you repeat the question Bryan, how much of the CapEx reduction--?
Brian Yu - Citigroup: Is related to the work stoppage in Chile, is that $500 million reduction?
Jamie C. Sokalsky: At this point, very little is related to that, about a $100 million, the rest of it is things that we have moved out and different cuts across the board.
Brian Yu - Citigroup: Okay. Thank you.
Jamie C. Sokalsky: You’re welcome.
Operator: And our next question comes from the line of (inaudible) with Vertias. Your line is open.
Unidentified Analyst: Thanks for taking my questions. I just have a few here. Regarding the possible suspension of Pascua, could you talk about some of the costs that might be involved in terms of the mobilizing there if you were to suspend as well as possible contract cancellation (indiscernible) with Silver Wheaton.
Jamie C. Sokalsky: It’s Jamie. It’s still too early for us to really talk about anything of that nature. That’s an option for us. Doing something of that nature would be quite complicated and involve a lot of work and well too premature for us to discus any numbers that in terms of any kind of suspension of the project.
Unidentified Analyst: Okay at this point for the Chilean workers, do you still have to pay any Chilean workers in light of the stoppage?
Jamie C. Sokalsky: Yeah, we’re just in the process of de-mobilizing, so as you know the court injunction occurred just a few weeks ago, but we’ve already started to bring people down from the hill. We’ve reduced the amount of people that are there and that will continue, but it’s still early. So those types of cessation of payments, et cetera that hasn’t really occurred yet given that we are only a few weeks past the injunction, but that obviously is something that we will be proceeding with and looking at more carefully as we move forward now.
Unidentified Analyst: And regarding the 2012 credit facility, is there some kind of annual or periodic review before it matures in 2018.
Jamie C. Sokalsky: No.
Unidentified Analyst: And then just lastly you mentioned some of the potential cost cutting opportunities going forward, and you’ve done a great job of bringing down the costs already, any other color you could give us on the potential magnitude of further cuts as well as CapEx cuts and particularly sustaining CapEx per ounce or something like that.
Ammar Al-Joundi: It’s an ongoing process. What I would say is the best way to generate additional positive cash flow is really to give the mine managers the freedom to run their business as effectively as they want. So, I will tell you all of the people running our mines have embraced this philosophy and really get all the credit for all of the cuts so far. So they continue to be confident. We’re obviously pushing them in that direction and working with them. We do have other alternatives, but they’re really quite spread out.
Jamie C. Sokalsky: We’re also in the midst of an organizational review throughout the company and looking at a number of cost areas and that’s still ongoing. But we feel that we should be able to take some further costs out of our overall cost structure as we move forward this year, but wouldn’t really want to throw out actual numbers, but they certainly could be meaningful.
Unidentified Analyst: Great. Thanks. I appreciate it.
Jamie C. Sokalsky: You’re welcome.
Operator: Your next question comes from the line of Greg Barnes, TD Securities. Your line is open.
Greg Barnes – TD Securities: Yes. Thank you. Jamie, can you give us some kind of idea of where you think that court injunction sits and what the process is going forward?
Jamie C. Sokalsky: Kelvin? I’ll pass that question over to Kelvin if you don’t mind, Greg.
Greg Barnes – TD Securities: Yeah, sure.
Kelvin Dushnisky: Hey, Greg. Well, the injunction proceeds a hearing on the merits, which has been scheduled and the court is waiting information from the agencies before they’ll get to that point. In the meanwhile, I think an important step that’s happening is we’re working with the government to prepare compliance plan, which is in essence going to show what the company will do over the course of the next period to come back into compliance with DRC or the underlying approval. And our sense is that, as we work toward that and we come to agreement on what it looks like, that should be persuasive in terms of showing that there is no eminent risk of harm and therefore that the court hearing should go in our favor. Can’t guarantee that obviously, but that’s the position we’re in, but as far as uncertainty around the date of that we don’t know at this point.
Greg Barnes – TD Securities: So that in front of the Appeals Court in Copiapó or is that the Supreme Court of Chile?
Ammar Al-Joundi: The Appeals Court in Copiapó.
Greg Barnes – TD Securities: Okay. And what about the regulatory process on the dust mitigation, where are you on that process?
Ammar Al-Joundi: We’re actually on the dust mitigation we made a very good progress, that’s the Sernageomin agency. We’ve installed various measures onsite for dust suppression [audio gap] which have been received very favorably, and the position we’re in is, there is a 45 day period that the agency wants to see the pre-stripping activity occurring, and to show that the dust suppression is effective, and after that if they are convinced that everything is working as planned, then we have a green light to go, but until we work to the other compliance matters related to water, of course we are not in a position to actually start that test.
Greg Barnes – TD Securities: Okay. And Jamie, you said this morning at the AGM, that unless you got some I guess passed to clearing this up in short order that you would have to take other steps, what do you think of the short order?
Jamie C. Sokalsky: Well, it’s hard to say at this time Greg. Although, as I mentioned, I will be travelling down to Chile in the very near future to meet with the government and our team, and have further discussions to try to obtain some more clarity. So, I think we’re talking, this is probably months, weeks or months as opposed to much longer than that it’s a short-term rather than a longer-term situation.
Greg Barnes – TD Securities: Okay. And just flipping back to Kelvin, this kind of process or the process that you’re going through with the compliance plan with the government, are there precedence you can point to and giving you some idea how long this process could take?
Kelvin Dushnisky: Greg, in essence what the process is contrasting the existing RCA with areas that need to be reengineered or improved on a going forward basis, which will require additional approval. So the process right now, it’s hard to give an accurate estimate of it, both in the next couple of week as we work with the government through the plan will get a sense of whether or not the additional approvals can be done on kind of an accelerated basis or if they are going to take little longer in terms of a fuller review. So I can’t really give you a more detailed estimate yet, but we’re working through it and we’ll be in a position relatively soon until now.
Greg Barnes – TD Securities: Okay, great. Thank you very much.
Ammar Al-Joundi: This is not going to drag on a long time Greg.
Greg Barnes – TD Securities: Okay. So another six month process you’re talking here, we’re talking months?
Ammar Al-Joundi: Much shorter than that for sure.
Greg Barnes – TD Securities: Okay, thank you.
Operator: And the next question comes from the line of Stephen Walker with RBC Capital. Your line is open.
Stephen D. Walker – RBC Capital Markets: Thank you very much operator. Just a couple of questions, first of all following up from something we discussed at the last quarterly call, Jamie could you highlight in Argentina again where you stand with respect to some of the critical items. Plants and tailings are they on timing and schedule as expected going into the winter, and then the underground tunnel and workings between Chile and Argentina sort of the anticipated date that could be completed, if it’s driven in from the Argentina side alone.
Jamie C. Sokalsky:  Sure, well Stephen I’m pleased to say that the progress in the productivity in Argentina is going pretty well in terms of the plant and the tailings, we are making good progress there. With regards to the tunnel, we’re looking at that are not being able to do any activity on the Chilean side, but we are certainly still working on the Argentinean side, will look at, I think it depends on certainly on Chile, so I can’t really give you a date, but overall we’re about 46% complete in terms of our overall construction. So and that’s pretty much on-time and where we expect to be.
Stephen D. Walker – RBC Capital Markets: And as a follow up, that will be a conveyor within that tunnel or the conveyor system taking ore from the primary crusher to the mill that is separate conveyor system?
Ammar Al-Joundi: No, it’s going through the tunnel.
Jamie C. Sokalsky: The conveyors went through the tunnel.
Stephen D. Walker – RBC Capital Markets: Yeah, and that is being pushed forward along with the development of the tunnel in a coincidental fashion or is it going to be put in later, the conveyor system put in later?
Jamie C. Sokalsky: Well, we have to finish the tunnel first and then kick the conveyor system then later.
Stephen D. Walker – RBC Capital Markets: Okay. Just as a follow-up and one of the earlier questions on sort of contingencies, if you are looking care and maintenance, obviously some of the assets in Africa and Australia, the all-in sustaining costs are sort of well above where the spot price of gold is or is somewhat above spot price of gold and you’re looking at potential for care and maintenance or shutdown, what process do you have to go through in Tanzania or in Australia to be shutting down an operation or putting on care and maintenance?
Jamie C. Sokalsky:  I would say it’s probably similar to our process that you’d go through throughout the world. I’m sure there are challenges. With that I’m not sure I can really get into outlining that in more details, Steven, but those types of decisions and a prolonged weak gold price environment are definitely on the table. Shutting down a mine or putting it on care and maintenance is a complicated process. It’s not easy. And I’d say that there are differences in many regions and there might be some more challenges in Africa than there might be somewhere else, but I mean, I think at this point, it’s probably hard to really say with any certainty as to what that process would be.
Stephen D. Walker – RBC Capital Markets: Okay. And just one last thing. Didn’t notice, didn’t see mention of the C3 cost for Lumwana and what is the C3 cost for Lumwana and what are your plans to drive the cost lower the C3 cost lower at Lumwana, any specific details if you could?
Ammar Al-Joundi: The C3 cost for Lumwana, the total for the company was $3 a pound. I believe the Lumwana was around $3.50 a pound for C3. And so…
Jamie C. Sokalsky: And that’s driving our plans to drive those costs down. We’ve got a turnaround team on the ground. We’ve talked about going to owner maintenance, potentially doing things long-term with regards to the haulage distances, the contract labor. We’re in the process of downsizing some of that. So going into more owner-managed mining and ultimately trying to improve the shovel availability, the truck utilization, that’s a critical part and to the extent that we can capture higher grades as well. So there are a lot of different things that the turnaround team has come up with and some of them will take some time to implement, but we’re already seeing some progress in that regard and I think we will be able to drive those costs down as we move forward.
Stephen D. Walker – RBC Capital Markets: Great. Thank you very much for that Jamie.
Jamie C. Sokalsky: You’re welcome.
Operator: (Operator Instructions) Our next question is a follow-up from the line of Brian Yu. Your line is open, sir.
Brian Hsien Yu – Citigroup Global Markets Inc.: Great. Thanks for follow-up. Jamie on Jabal Sayid, can you provide an update on what’s happening with the different opinions on the impact of the ownership change?
Jamie C. Sokalsky: Sure, Brian. We’re still working with the DMMR there and having discussions about that. We’re continuing to have a good dialogue, but that’s still an ongoing process.
Brian Hsien Yu – Citigroup Global Markets Inc.: And is this, during the discussion period is that having any impact on upgrading the facility there to meet the local standards?
Jamie C. Sokalsky: No, I think that’s a separate issue and we’ve made some very good progress with HCIS in terms of that issue. We’ve been doing that compliance work and have made some significant progress there. So those two issues are mutually exclusive.
Brian Hsien Yu – Citigroup Global Markets Inc.: Okay. Great. Thanks.
Jamie C. Sokalsky: You’re welcome.
Operator: And our next question comes from the line of Reid Weaver with Martin Capital. Your line is open.
Reid Weaver – Martin Capital Partners: Hello, guys. Just wanted to ask a quick question regarding the dividend here. I apologize if you spoke about it at beginning of the call. I hopped down a couple of minutes late. But was just wanting to get your impression of the sustainability of current levels of dividend payment and if you see yourselves going back to growing the dividend in the future given what’s happened in the last couple of weeks and with Pascua-Lama and then also with stock prices coming down.
Jamie C. Sokalsky: Well, thanks for the question. Reid, as we discussed we declared a quarterly dividend of $0.20, which was the same as our previous quarter. I’d say that’s the Board decision and we’re just going to have to assess every quarter as we move forward. In the past we’ve certainly been able to incre1ase the dividend. As we go forward it will depend on a number of factors including free cash flow, capital, the markets, how much cash flow we’re generating. So that will be assessed by the Board on a regular basis. So I wouldn’t want to say anything more than that.
Reid Weaver – Martin Capital Partners: Okay. Thank you.
Jamie C. Sokalsky: You’re welcome.
Operator: And our next question comes from the line of [George Matthew]. Your line is open.
Unidentified Analyst: Thank you very much. The $340,000 ounces at a $177 an ounce were really spectacular at Cortez. How much was the grade variance from plan, and is there a potential for similar grade variances in coming quarters, how long will you be in these zones?
Jamie C. Sokalsky:
Unidentified Analyst: Yes.
Jamie C. Sokalsky: What I can comment is that in the North American operations, we were hiring in mining ore and we have less stripping and regarding grade in, it was essentially above brand.
Unidentified Analyst: Yeah, we know that, do you think the geologic model systematically understates the grade in a particular zone.
Jamie C. Sokalsky: I don’t know if we really have the answer to that John at this point, I mean we can get back to you on that. That was a very good quarter we’re not expecting that we’re going to have that type of production for the rest of the year. So, that was a particularly good quarter in terms of higher grade that won’t be the case for the rest of the year. But it will still be certainly one of our lowest cost mines.
Unidentified Analyst: Thank you.
Jamie C. Sokalsky: You’re welcome.
Operator: Next question comes from the line of [George Azarias] from Morgan Stanley. Your line is open.
Unidentified Analyst: Thank you. Hi, guys, just one quick question on, just wanted to understand the impact on cash cost. If you would sell Barrick Energy, would that be about similar to what you had in the previous quarter at $14 per ounce, what is that flat or that varies with the oil price?
Ammar Al-Joundi: It varies with the oil price and somewhat with the production. It would be in that neighborhood somewhere around that $15 an ounce.
Unidentified Analyst: Got it.
Ammar Al-Joundi: That number would be lower if the oil price is lower, and higher if the oil price is higher.
Unidentified Analyst: Understand, thanks.
Jamie C. Sokalsky: You’re welcome.
Operator: Our next question come from the line of George Topping with Stifel. Your line is open
George Topping – Stifel Nicolaus, Inc.: Great, thanks. Ammar I see the other costs were higher in Q1 through the income statement $166 million. Any reason behind that?
Jamie C. Sokalsky: Yeah, George I’d have to look at that and refresh my memory on that one. Just give me or I will maybe get back to you a little bit later on this call.
Unidentified Company Representative: Okay, the jump up from Q4 from last year, so just curious whether retrenchment cost or so.
George Topping – Stifel Nicolaus, Inc.: Okay, then moving along, in Dominican Republic, is the government giving you any, can you share with us what the government is looking forward in terms of additional taxes as far as departure is in it at from the existing fiscal agreement.
Unidentified Company Representative : Those conversations are confidential George, so unfortunately I can’t really give you an idea on what types of numbers we are talking about other than to say they are certainly looking for advancing more money in the near years of the mine plant, but other than at this point, I can’t really give you anymore information.
George Topping – Stifel Nicolaus, Inc.: I see. Okay, and then on just lastly on the three Australian mines that are up for sale or have you got CA signed or can you tell us what timeframe we should be looking at?
Jamie C. Sokalsky: We don’t really want to comment on the sales process for something like that or comment on rumors. We haven’t made any comments about that process. Now those were media reports, so ultimately we don’t intend to comment on rumors about sales of mines in the market.
George Topping – Stifel Nicolaus, Inc.: I see, okay. How about the last question on Veladero, the costs were very well contained if it were less this quarter than they were in Q4, are you not finding or how are you getting positive inflation problem as measured against the currency in Argentina.
Ammar Al-Joundi: George, it’s Ammar here, I’m going to take that first I’ll answer this one, then the previous question you asked before. Veladero was particularly good because we were able to extract a lot more silver and had higher sliver credits, so that was excellent results out of that mine. With regards to inflation really the only issue we have there now that the mine is built is labor and so our guys continue to be exceptionally, have exceptionally good relationship with the Union there and are managing it frankly just through good relations. The cost pressure is there. Your question earlier about the other expenses going up, was a little bit higher this quarter, and that’s really associated with primarily unusual holding costs at Jabal and then also some other items but it was mostly that.
George Topping – Stifel Nicolaus, Inc.: Okay so the two year guidance for that remains the same.
Unidentified Company Representative: Yes, for now.
George Topping – Stifel Nicolaus, Inc.: All right, great, thank you.
Greg Panagos: Operator this is Greg, we have just enough time for two more questions and then we’ll have to end the call.
Operator: Perfect sir, thank you. Our next question that does comes from the line of Jorge Beristain with Deutsche Bank. Your line is open, sir.
Jorge Beristain – Deutsche Bank: Hi, good afternoon, I guess my first question is for Ammar. I just wanted to understand if I am thinking about this correctly. Given where current quarter to date gold prices are you would seem to annualizing EBITDA at less than $6 billion for a full year basis and what would it take to keep your investment grade rating. I’m assuming 2.5 times debt to EBITDA is the maximum that your company could support. Is that a correct assumption?
Ammar Al-Joundi: No. They look [hardly]. The rating agencies, they do the proper credit analysis for the long-term. They look at long-term company performance. And so, they look at our earnings and they look at our ability to generate cash flow and that continues to look very good. I think there is a little bit of a misunderstanding as to how the rating agencies look at things. They are quite comfortable with Barrick investing money in good quality assets. They don’t take a very short-term view on things. In the long run, we continue to be very comfortable with our ability to generate cash flow and that’s why we continue to have a good investment grade rating.
Jamie C. Sokalsky: The rating agencies use much lower gold prices, commodity prices in accessing the rating. So they don’t move down and current EBITDA doesn’t necessarily impact how they look at the credits because they’re already using more conservative assumptions.
Jorge Beristain – Deutsche Bank: And given your intention to tap the credit markets that you said later in the year you do not view the possible loss of investment grade as a risk at this point?
Ammar Al-Joundi: No. No, I mean, we’ve already told them that we will do that, they view that just the way we do as proper balance sheet management, all we’re doing is trimming out some of the shorter dated debt with longer dated debt, which is a prudent thing to do.
Jorge Beristain – Deutsche Bank: Okay, and my second question Jamie is, could you give us an update as to where you are in the asset sale process, we’ve talked about this I think it was last quarter conference call you had indicated that there was surprisingly more demand for your assets than you would expected, but we haven’t really seen any concrete Memorandums of Understanding or anything go out. Could you just give us some color as to where you think you are in the asset sale process?
Jamie C. Sokalsky: Well, we’re proceeding quite seriously in terms of the Barrick Energy sale and also as we talked about with Kabanga, so I am hopeful that we’ll be able to announce something on that relatively soon. In terms of some of the other assets, I have to say that, what’s happened in the market in terms of the gold price, and the serious decline in the equity marker, which impacts the ability for companies to raise money et cetera, that’s made it more difficult, but at the same time we’re still engaged in a number of discussions, number of processes, but perhaps it has become more challenging. As I have said this isn’t a fire sale, we’re not going to be giving away assets. We’re not also going to be holding out for the last nickel or dime, but there is a right price, and one of the things that I’ve said is the assets are more value to someone else than they are to us that’s how I think we can do a transaction, but I am still optimistic that we will be able to get some things done in the gold side of things as well, but as I say that may take a bit longer, because the market is more challenging.
Jorge Beristain – Deutsche Bank: And sorry, don’t want to monopolize the Q&A, but lastly copper notably absent from your potential divestiture targets, any updates there as to thinking on Jabal Sayid or Lumwana as to if those assets could potentially go on the block if you fail to sell Barrick Energy or some other targets?
Jamie C. Sokalsky : That’s not in the current plan. We have got to improve Lumwana’s performance. That’s a big objective for us this year, it’s a high priority. I think until we do that, get that mine running, the way that we thought it could when we purchase it or at least a much better performance would not make sense for us to do something for that asset, and also we need to progress Jabal Sayid as well and complete what we need to do there. So we have no current plans with those assets.
Jorge Beristain – Deutsche Bank: Great, thanks very much.
Jamie C. Sokalsky: You are welcome.
Operator: And our last question comes from the line of Alec Kodatsky, CIBC. Your line is open.
Alec Kodatsky – CIBC World Markets, Inc.: Great, thanks. I just had a couple of quick questions. It seems as a pretty define plan as to resolution at Pascua-Lama, is there any sense that there is a timeline or a deadline at Pueblo Viejo between yourselves and the government as far as when you might reach a conclusion on negotiations?
Jamie C. Sokalsky : Now those discussions are ongoing Alec. We will see that’s a process that may take some time, but we continue to have some discussions and ultimately that is something that I think will continue and we’ll certainly update you as we make more progress there.
Alec Kodatsky – CIBC World Markets, Inc.: Okay, and just quickly on the Lumwana, do you have any idea how much ore resources from Chim and how much this from along the way in Q1 and what you expect that relative proportion of to be by end of the year.
Jamie C. Sokalsky: Our expectation for the year was about two-thirds ore from Chimi and one-third from Malundwe approximately I think the first quarter was slightly in that range.
Alec Kodatsky – CIBC World Markets, Inc.: Yeah.
Unidentified Company Representative: And this two, they have the amount of ore moved for Lumwana was about 5.7 million tons in total and with the proportion that Jamie mentioned.
Alec Kodatsky – CIBC World Markets, Inc.: Okay, great thank you.
Greg Panagos: Okay, you’re welcome. Well with that we’ll close the call off. Thank you for participating many of you may have heard some of our comments or the presentation at the AGM as well today. We are very pleased with the start of the year. We are not pleased with the share price, we were disappointed. We’ve got a few challenges that we need to workout but from an operating standpoint, I think the changes that we’ve been implementing, the discipline capital allocation some of the cost reductions that we’re applying, some of the capital reductions. We are very pleased that, that has been resonating throughout the company and being embraced by all of our operational people and other employees throughout the company. So we are hopeful that we’re going to be able to deliver very good operating performance and cost performance for the remainder of the year. And also deliver on our guidance and expectations and looks further capital and/or cost reductions. And so, hopefully we have a good year ahead of us in terms of meeting our guidance that we now we have to deliver. And we have a number of other challenges that we need to work through, but we’re taking action and we’re making progress so we still have work to do, but we’re very happy about the start of the year in terms of that operations and ultimately look forward continue to update you and on the next conference call. So, thank you for your participation.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for joining us and ask that you please disconnect your lines.